Executives: Ignacio Cuenca - Investor Relations Jose Ignacio Sanchez Galan - Chairman and Chief Executive Officer Jose Sainz Armada - Chief Financial and Resources Officer
Ignacio Cuenca: [Foreign Language] Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us this morning. We are delighted you are able to be with us for the presentation of our 2017 first half results. The presentation will, as usual, follow our customary format. Firstly, we will begin with an overview of the results and the main developments during the period given by the top management that usually we have with us, our Chairman and CEO, Mr. Ignacio Galan; Mr. Francisco Martinez-Corcoles, Business CEO; and finally the CFO, Mr. Jose Sainz. Afterwards, we will move onto the Q&A session. We would also like to point out that we are only going to take questions submitted via the web. So please ask your question only through our webpage, www.iberdrola.com. We expect that the event will last no more than 60 minutes. Hoping that you will find this presentation both useful and informative. Now, without further ado, I will hand over to our Chairman and CEO, Mr. Ignacio Galan. Thank you very much again. Please, Mr. Galan.
Jose Ignacio Sanchez Galan: So thank you Ignacio. Good morning, everyone and thank you very much for participating in the result presentation conference call. In the first half of the year, the net profit has grown 4.2% reaching EUR 1,518 million with an EBITDA of EUR 3,752 million, driven mainly by the contribution of our Network businesses in United States. The net investment had continued to grow increasing in comparison to the first half of 2016 to over EUR 2.5 billion. Our American company Avangrid keeps delivering the strong business performance with a net profit of $359 million, an increase of 40% in U.S. GAAP. [indiscernible] Brazilian subsidiaries NEOENERGIA and Elektro create an industry leading in Brazil in which Iberdrola will hold 52.45% stake. This operation fulfill the goals of our strategic plan as it increases the contribution of our regulated activities in a high growth market. First half EBITDA reflects a progressive recovery in business performance moving from minus 8.2% in the first quarter to a decrease of only 3.6%. The recovery is mainly driven by networks which grew 4.4%, thanks to the performance of our activities in United States and the implementation of the 3 year rate plans in Connecticut and New York. In Brazil, the higher demand and the annual tariff adjustment, the inflation have also contributed possibly to the results. The renewable businesses has remained relatively stable with an EBITDA that excluding foreign exchange impact is in line with last year's. The main driver has been the higher output in UK, thanks to 31 increasing wind production with addition of 260 megawatt of new average capacity in operation compared to the first half of 2016 almost offsetting the 41% lower wind - output in the Spain which compared to exceptionally high level last year. Our contracted generation activity in Mexico is up 26.9%, thanks to the contribution of the 750 new average capacity in operation versus the same period last year. Generation and supply EBITDA continues to be effecting mainly by the UK. In retail, traditionally lower demand in the second quarter, a higher regulated obligation cost have limited potential improvement expected for the measures implemented from April. On the other hand, the lower generation output due to the closure of Longanet in March 2016 is starting to dilute slightly. And we are still expecting improvement in the business performance during the second half as a result of higher demand and saving from the efficiency excellence. As for Spain, the hydro output continues to be at exceptionally lower levels seven terawatt hours was below the remarkably high level so the first half of 2016. In fact, the second quarter of this year has been the driest recorded. They has been partially offset by the positive adjustment in gas which had the opposite effect last year. Our net investment continue increasing to over EUR 2.5 billion at 35% growth with 91% located to networks, renewables and contracted generation. In total, we have 90% of the investment of our plant completed or in construction with almost 1.5 gigawatt added since 2016 and in additional 3.3 gigawatts in construction due by 2020. For the operation milestone achieved during the first half, I would like to highlight the following. In networks we feel a new rate case for Connecticut on June 30, requesting a three year rate agreement with new tariff effectively on January 1st, 2018. The Western Link, high voltage cable product to bring renewables from Scotland to England and Wales is well advanced. The installation of the first of the two subsea cables has been completed and successfully tested and the second one is undergoing. Overall, more than 90% of the total cable length of 840 kilometers has already been installed. The commissioning is expected by the last year of this year. In the Spain, the smart grid project has reached 92% of smart meter installation having added almost 1 million in the first half of the year reaching a total of more than 10 million smart meters fitted. In Brazil, the four regulatory cycle of CELPE, the energy distribution company in the state of Pernambuco coming to force in April and is expected to increase over 50% of result of this company. In renewables, at our Wikinger offshore wind farm in Germany, 33 turbines with a capacity of 165 megawatt out of the total 350 megawatt were installed during the first half. 27 of this turbines had been pay commission and one of the two cables have been installed. First export is expected in September and full export by the year end. For our next offshore wind project East Anglia One in Britain, 80% of the construction contracts has been signed. In offshore, 327 megawatt commissioned in first half. 200 megawatt in the UK, 84 megawatt in Brazil and the remaining capacity in the United States. Avangrid offshore is executed 400 megawatt of PPAs for new wind farms, 100 megawatt PPAs for repowering and 590 of fixed price contract for existing capacity reducing risk. In total, there are 2.8 gigawatts of wind and solar capacity in construction in the UK, used Mexico, Brazil and Spain. And 1.2 gigawatts are to be commissioned in the second half of the year and the remaining 1.6 gigawatts are expected before the end of 2020. In Mexico, 336 of contracted generation capacity has been commissioned and 100 megawatt is due before the year end. In total, there is currently 3,500 megawatts in construction. So by 2020, total install capacity in the country will reach over 10,000 megawatts and output will exceed our current production in Spain. Altogether, the 6.3 gigawatts in construction in all the market will increase our total install capacity by 13% within the second half of 2017 and 2020. We are also progressing our investment expected on 2020 guaranteeing future growth. In networks in Brazil, Elektro has awarded emission line with a total of 580 kilometers of length in three substation expected to be fully commissioning by 2022. And in New York, we expect approval in 2018, the advance meet an infrastructure period for the deployment of 1.8 million smart meters by 2022. We expect that is a good investment of the DSI plan related to automation is advance contra system of the distribution networks. In renewables, we have achieved the permits for the construction of the offshore wind farm, St. St. Brieuc in France with commission expected by 2022. Also in offshore, we have an important set of opportunities which are in process are being awarded. In UK, we are expecting by August the permit to East Anglia 3 with a capacity around 1,200 megawatts. The auction is due in 2018. At the same time in Germany, we are working in the station of Wikinger [ph] with up to 750 megawatts of additional capacity. The auction is expected in first quarter 2018 as well. And in the United States, Avangrid secured two leases at the first half of the year. Wikinger wind farm of the Coast of Massachusetts could potentially support around 2,000 megawatt of capacity. In June, the Department of Energy issues a request for proposal for procurement up to a 100 megawatts. In other lease area is of the Coast of Kitty Hawk in North Carolina with a potential capacity of around 1,500 megawatts. Finally regarding the storage, we are building three hydro pumping plants in Portugal in Tamega River with 1,150 megawatts of capacity. The commission of the first phase is expected in 2021. Our American Company Avangrid where we hold 81.5% of stake increase net profit by 14% in the period reaching $359 million with a net profit growth of 10% in networks and 90% in renewable. The execution of this strategic plan is also will underway. Investment in the first half reach almost $1 billion increasing 47% compared with a first half of 2016. The company has already commissioned 244 megawatt of the new capacity, it has 1,000 megawatt of new build secure with PPAs, 600 megawatt of which is already in construction. In addition, the company is around 2,500 megawatt of wind and solar for projects and in advance stage of develop, mainly which should coming to operation by 2020. Meanwhile the company also continues to the implementation of efficiency measures of our 2020 plan. Avangrid pays a second quarter divided in $0.432 per share in July 3rd. And the board have declared the third quarter dividend of as well $0.432 per share payable in October. It has been reflected in the market performance of the company with a total shareholder return in the year over 21% doubling the Standard & Poor's 500 Utilities Index. For our Brazilian assets, the process to close our two Brazilian subsidiaries Elektro and NEOENERGIA is on track. Two weeks ago, we obtained approval of the anti-trust authority Conselho Administrativo de Defesa Econômica, CADE and we expect to receive two pending approvals from the National Electric Energy Agency, ANEEL, and the National Economic and Social Development Bank, BNDES. The transaction involves no cash component and no capital increase. Once completed Iberdrola will hold a majority of stake in a company focuses in regulated and renewable activities with potential for value creation. Through implementation of group best practice to achieve further operation efficient synergies, improving EBITDA and cash flow generation profile and increasing group RAP, enhancing our regulated profile. The company will be largest in Brazil by number of customers with 13.4 million points of supply, 73 population for around 43 million people with second area company 1000 kilometers and with a 585,000 kilometers of this division networks with more than [indiscernible] network in Spain. The newly created company will be present in state and will have over 3,500 megawatt of contracted capacity in operation and construction mainly in renewables. And we are working on the necessary step for the future listing of the company in the stock exchange. Finally, we have announced our last result presentation, we have executed any addition - a new addition of the Flexible Divided program during July, amounting a total of EUR 0.147 per share and 18.5% increase on July 2016. Additionally, company has paid EUR 0.030 in cash on July 7th to a total of EUR 0.177 reaching a level of shareholder remuneration of EUR 0.317 per share almost 11% higher than last year. I will now hand over to Pepe Sainz, who will present the group result in further detail. Thank you.
Jose Sainz Armada: Thank you, Chairman. Reported net profit increased 4.2% to EUR 1,518 million improving the first quarter 4.7% fall driven by the recovery trend of the EBITDA. That improve the 8.2% first quarter first fold to minus 3.6% reaching 3,751 million. Operating cash flow was 1.7% to EUR 3,175 million. The FX impact has been limited to minus 19 million at the EBITDA level and minus 3 million at the net profit level. As 11.4 revaluation of the pound was partially compensated by a 2.8% revaluation of the U.S. dollar and 17.2% revaluation of the real. Revenues increased 1.8% to EUR 15.2 billion, while procurements grew 2.4% to EUR 8.3 billion due to higher input cost linked to the higher thermal mix. As a consequence, gross margin grew 1.1% to EUR 6.8 billion, improving versus first quarter 2.3% fall. Net operating expenses rose 4.4% to EUR 1,942 million driven by 77 million storm cost accounted for both the U.S. and in Spain in the network business during the second quarter of the year. Excluding non-recurring costs and FX impacts, net operating expense remained flat. Net personal expenses grew 2.8% and excluding non-recurring and FX fell 1.5%. Net external services increased by 6.2% and 2.3% up were up excluding both impacts. Levies were up by 13% to EUR 1,157 million due to in Spain 80 million of positive count ruling accounting for in Q2 2016 and EUR 12 million higher in generation taxes in the liberalized business linked to energy prices. In the U.S., there was EUR 21 million higher taxes in the network business that will be reducing back in the second half due to the seasonality of its recognition in IFRS method versus GAAP method. Other FX were mainly higher taxes in the UK liberalized accounted for in Q2 associated to the one house discount that added EUR 16 million to the taxes. Analyzing the different business and starting by networks, its EBITDA grew 4.4% reaching close to EUR 2 billion excluding them already mentioned EUR 77 million negative impact the EBTIDA would have grown by 8.5%. I say explained last quarter the U.S. and Brazil continued to be the main drivers compensate in a weaker performance in special in the U.K. Gross margin grew 5.8%; net operating expenses were up 8.8% due to already mentioned impact of the storm cost and taxes offsetting6.7% mainly to the EUR 21 million increase in the U.S. business. As you can see in this slide, Spain contributed 39%, the U.S. 32% and the UK 23%. In Spain, EBTIDA decreased EUR 30 million to EUR 771 million with lower investment recognize in the first half of 2017 versus last year a high net operating expenses due to the storm costs. In the U.S. EBITDA was up 24% to $682 million as a consequence of the implementation of the new rate cases in UIL and New York, positive IFRS impacts compared to last year that will flood them throughout the year, partially compensated by the already mentioned $76 million storm costs with no impact on the U.S. GAAP, but impacted in the IFRS accounting and 6.7% higher taxes. In the UK, EBTDA fell 4.1% to £388 million with a 2.7% decrease in gross margin affected by lower volumes due to mild weather around £10 million that will be recovered in the following years and settlements of around another £12 million due to lower investments during 2016 that have to be adjusted during 2017. Finally Elektro EBITDA improved 12.8% to R$436 million with 4.6% higher energy distributed and the positive impact of the 9% increase in the past August review. Generational & Supply EBITDA fell 19.7% to EUR 984 million affected by an adverse operating situation in Spain as the Chairman has mentioned and the poor performance in the UK not compensated by the very good performance in Mexico. As you can see in this Slide the UK is only 6% of the Generation & Supply EBITDA while Spain accounts for 67% a Mexico reaches 27%. Getting into the details, in Spain the EBITDA fell 12.4% to EUR 662 million with the stronger retail activity and higher gas results due to a one off positive review of prices of the portfolio during the second quarter. Absorbing part of the margin compression driven by the extremely adverse operating environment with a 20% lower output including a lower 7 terawatt hours production in the Hydro after a record of Hydro production in the first half of 2016 that has been followed by the driest second quarter recorded as the Chairman already has pointed out. Levies were up 33% due to an unfavorable comparison with 2016 and including this EUR 71 million of positive court rulings and higher generation retail taxes. In Mexico the EBITDA improved 23.4% to $290 million, thanks to the additional capacity in operation both with CFE and private customers and better prices due to higher CFE tariff. In the UK EBITDA fell 76% to EUR 49 million with a 33% decrease in gross margin not compensated by a 10.5% improvement in net operating expenses. In Wholesale & Generation the EBITDA decreased EUR 49 million and as a matter of fact the Group has registered EBITDA losses of EUR 15.7 million in Wholesale & Generation with higher cost of gas and lower output after the Longannet closure at the end of the first quarter of 2016. In the retail business the EBITDA decrease EUR 170 million to EUR 64.5 million. In the retail electricity business due to higher government obligation and lower margins and in retail gas business due to lower margins and volumes linked to milder weather. Renewables EBITDA was 2% down to EUR 819 million recovering the first quarter 5% fall with the UK improving substantially its evolution in the second quarter and the U.S. maintaining needs growth levels almost compensating the lower results in Spain. Gross margin grew 1.8% and net operating expenses increased by 13% with higher activity and non-recurring negative impacts in the UK and the U.S. The U.S. became the largest contributor to the EBITDA with 36% followed by Spain 31% and the UK 22%. In the U.S. EBITDA increased 2.8% to $319 million, gross margin was up 5.8% driven by a 3.2% higher output in line with additional capacity installed. Net operating expenses were up 79% or $90 million of which $12 million were non-recurrent. In Spain EBITDA reached EUR 257 million, 19.4% lower than last year. As a result of 14% lower output compared to an exceptional first half of 2016 that normalized thereafter. In addition there is a positive adjustment of the investment incentive more than compensated by lower regulatory asset due to high energy prices. In the UK, EBITDA grew by 31.7% to £153 million as a consequence of a 37% higher output with 262 megawatts increase in average capacity and higher load factor that boosted the gross margin by 33%. Net operating expenses were up £13 million of which £12 million are non-recurrent. The UK business is accelerating its growth during the year as new capacity so that non-recurring impacts are being diluted. In Latam, which includes Mexico and Brazil EBITDA increased 13% to EUR 41.6 million mainly as a consequence of higher prices under evaluation of the Brazilian Real. Finally Rest of the World EBITDA reached EUR 46.7 million minus 6.3% due to lower output. EBIT decreased 6.1% to EUR 2116 million. Amortizations grew by EUR 40 million to EUR 1529 million due to the increase in investments partially compensated by a EUR 34 million impact due to the useful life extension of combined cycles and Hydro plants electromechanical equipment in line with the industry standards. Provisions fell by EUR 70 million as in the first half of 2016 there were EUR 27 million of one off provisions. Net financial expenses reached EUR 413 million, EUR 52 million more than last year due to the 2016 positive FX edge linked to the British pound depreciation with an unfavorable comparison this year. Nevertheless debt related financial expenses continue improving with a EUR 28 million reduction due to our debt cost improvement of 42 basis points from 351 to 309 and despite a EUR 2.1 billion increase in the net average debt. Reported net profit grew 4.2% to EUR 1019 million improve in the first quarter 4.7% fall. Thanks to the higher non-recurrent results driven by the Gamesa gain and the impact of deferred taxes in our tax rate. Going into financing, our net debt total EUR 29,474 million with positive FX impact compensated are demanding investment plan. I would like to stress that our credit metrics improved versus first quarter. Our net debt to EBITDA was 3.8 times, our FFO net debt was at 21.6% of retain cash flow net debt reached 19.4% with a leverage ratio of 42.4%. The Group has a very strong liquidity position covering more than 18 months in a stresses scenario with an average maturity of our debt of 6.3 years in a comfortable maturity profile. And now, the Chairman will finalize the presentation.
Jose Ignacio Sanchez Galan: Thank you, Pepe. As you have seen, we are delivering on our plan through 2020 and our investment will progressively continue to growth. We have EUR 22 billion of investment completed or in construction that is around 90% of EUR 25 billion investment included in our plan. And this allow us to also start sizing opportunities with commissioning beyond 2020. We continue working towards for the growth, focuses in low carbon sources, storage capacity in the Italy and Greece in our markets. In the USA, we will continue growing in renewables through the Belo Monte of further ensure for clients in a security offshore wind projects exporting our knowhow in these technology. In networks, we will continue growing through our rate cases, participating in open of this smart cities, smart community project of Oaxaca and developing transmission project for the integration of renewables energies into the system. In the UK, we will continue focus into renewables and networks. In offshore, we have the development of the East Anglia 3 offshore wind farm for which we are expecting the permits in August and they will carry on investment on transition and distribution including the Belo Monte of meters expecting to reach 100% by 2021. As for Mexico as well, as I would invest money contracted generation, we have one important portfolio potential win in solar photovoltaic projects. And in Brazil, new networks and renewables opportunities are right at the result of our merger to Neonergia and Elektro. All these opportunities offer further visibility after our current plan and allow us to reaffirm our expectation of continue growing in result beyond 2020. For our 2017 outlook, we like to briefly go through the main business drivers that will support a mid-single-digit net profit growth, thanks to they use in Brazil rate cases in networks. The new installed capacity in renewables and the expected normalization of wind condition during the year. The new contracted generation in Mexico, the improvement in Generation and Supply Business in UK, due to the dilution of the comparatively higher and as a result of the efficiency measures and starting to increases implemented in April. And finally, we have the record, their condition in Spain. All these will allow us to maintain our commitment of growing shareholder remediation in line with our good results. Thank you very much for your attention. Now we are ready to answer your questions may you have.
Q - Ignacio Cuenca: Okay. Let's move to the Q&A session. The first block of question come from Carolina Dores, Morgan Stanley; Javier Garrido, JP Morgan; Alberto Gandolfi, Goldman Sachs and José Javier Ruiz from Macquarie is related to the 2017 guidance. If this is a mid-single-digit have been announced in this guidance includes the provision of [indiscernible]. And if the EBITDA is affected to which impacted by the whether reasoning the Spain?
Jose Ignacio Sanchez Galan: As I commented, the main drivers is the new installed capacity, is the normalization will help the hydro condition in wind condition which is the wind already normalizing, the hydro we expect in the third quarter last quarter will come again on the normal range. And also I think very important drivers which is already the approvals of Brazil. The fact that this merger is already in the moment we consolidate. This one is going to increase our EBITDA in an important amount and also is going to modify as well or increase as well our net profit as consequences of one-off then we have already in revaluation of the value of our participate in NEOENERGIA. So that's all together is what is already given us the confidence. And either in the - especially in the in the line of the net profit, I think we can go already to this middle digit growth and also I think we already partially affected to our EBITDA as a whole. Nevertheless and nevertheless, I would like to insist in 2017 is a real challenging year for the sector as a whole, due to the climatic condition. And what is important is to see then the companies demonstrating the resilience due to the geographical and business diversification. If we will be only dependent one single market, the condition will be different of those, we can really present today. I think lastly we have already low production in wind in Britain and very good in Spain, very good in Spain, very bad Britain. There was a record production of hydro in a Spain and this year is lower, but we have better performance in this state than last year. And almost already yes making that this challenging year will be compensating one business when only one. We are very confident then these mid-single-digit growth in profits can already been achieved easily.
Ignacio Cuenca: The second question comes from Peter Bisztyga from Bank of America Merrill Lynch; Carolina Dores of Morgan Stanley; and Monica Girardi from Barclays. And is related to the story of impact of last contracts in this second quarter of the year. They are basically asking of update disgust contract renegotiation is a onetime gain or is sustainable in gross margin for the future?
Jose Sainz Armada: I think that as we commented or the Chairman has commented last year that was a negative impact, this year is positive. Obviously, this has the concept of one off, but our basket of gas will have better margin seen in the following years.
Ignacio Cuenca: Next question comes from sorry [indiscernible] and is coming in related to the Spanish liberalized business. If we can elaborate this slightly more the impact of the weakness in the Spain liberalized business even with the one-off from gas and the expectation from the full year in 2017.
Jose Sainz Armada: Well, the main contributor to the Poland, let's say to the not so good result we have had are the differences in hydro production is about 7 terawatt hours that accounts for something around EUR 250 million. So this is the main contributor and this has the Chairman had said is something that has happened in the first half, so we do not expect, we do not have any indication that in the second half in the last quarter we will keep on these bad or dry situation. So the contribution of the hydro will not be so negative at all. On the other hand, we have the question of the prices and the prices we have almost closed all a year and the prices are ok. So the - what we expect for the second half is something normalize and not be in line with what we have seen in the first half.
Jose Ignacio Sanchez Galan: So nevertheless I would like to insist, I think the ring will come, so I think there is no doubt that this is true then there - will be improved. But nevertheless we are selling more and selling in the better condition. So that is going to help. And I think this seven certain is going to be recovered but that thing is we expect to normalize the condition which has been traditionally happened.
Ignacio Cuenca: Next question comes from Jorge Alonso; José Javier Ruiz with Macquarie. And he is related to the UK liberalize unit in the second half, we expect that the tariff increase made in April will be enough to offset this weak H1 results?
Jose Sainz Armada: Certain measures what we are taking is precisely to main is the gap but we have suffering toward the previous year. So I think the increase in April is going to give already a reseller across the rest of the year, no doubt. Apart of that I think action has been taking in cost cutting and trying to become more efficient in all times either in the course of serve and the different action which is already underway. So certainly we expect certain improvement especially because the volumes in the four quarter used to be quite large. I think normally the two large quarters is the first and the fourth quarter, you will see the second quarter is slightly better than the first one and we expect that the third will have already same trend and the fourth one we expect more volumes with better prices in certain, we expect already the improvement in this business. Together with the dilution of the effect of the Longanet, we also already closed in the first half of - in the first part of the year, which is fully affected but now will be diluted all across the year.
Ignacio Cuenca: Next question will come from Javier Garrido, JP Morgan, and he is related to what the revolution of customer figures in Spain and the UK. Are you planning to take an additional initiative to regain the loss of customers?
Jose Sainz Armada: Yes, starting with initiative we have already taken new products, new channels in both places in the Spain and UK. And the figures are in Spain 180,000 customers more than we have in the December 2016 and 27,000 customers less - the first figure was Spain, the second figure the 27,000 less customer was in UK and in relation to December 2016.
Ignacio Cuenca: Next question comes from Monica Jidardhi, Barclays, San Pablo Colorado, HSBC. And he is related to our retail market in Italy. Your target is 5% to 7% market share but when do you expect it to reach it, which client segment you want to target? How do you see the full liberalization of the sector in Italy?
Jose Sainz Armada: We see very positive Italy. Italy well they're full liberalization has been postponed one year, but this makes no problem at all, because there is enough margin in the regulated tariff. So we see as a very positive market our intention is to get something between one and two million customers by the end of this decade, and these 5% to 7% would be around the beginning or the first years of the next decade, so could be 22%, 21%, 23%. In Spain, we have been beating all of our - continuously beating all of our targets, so we are very confident that we will do easily there. We are going to use all of our capacities that we have had in Spain in terms of back office very well tested products, very well tested channels et cetera. So we think it's going to be one of the good news let's say our region in the nice years Italy.
Ignacio Cuenca: We have now a block of question related to our Brazilian activities from Virginia Sanz, Deutsche Bank; Javier Garrido, JP Morgan and [indiscernible]. First is when we expect to globally consolidating in NEOENERGIA goodies being for Q4 2017. Another one is the contribution to earnings there is slightly down and better last year is due to any one off of this recurring, do you expect a recovery in the second half or should result to start improving 2018. And the last one is, be interested in the Brazilian Hydro and transmission asset privatization process?
Jose Ignacio Sanchez Galan: So let me start with the first one. As I mentioned in my speech, we are confident then the premise will be achieved by August. So our expectation is we can really consolidate completely accompanied by the third quarter results. In tense of the contribution of earnings I think as I mentioned we have already one off of a few hundreds of million euros as consequence of the revolution of our asset value in NEOENERGIA, and in the following years I think is intense in the EBITDA is going as well to what few hundreds of million euros this year, which will be recurrent in the future. Related to our interest in future transmission and privatization well now we are fully focused in what we have focus, we have to integrate both activities to try to make the best practice, but of course, that we are going to look the opportunities in the market that's in recently we have to really participate in auctions, as I mentioned, we have already won the few hundreds of kilometers of transmission line, three service station and we would continue looking for the opportunities, because we are changing the country with a high potential, especially when you have present in such we are - we would have now enter different states, so which such fiscal presence the opportunities should appear and we will look for all those ones in due time. But I think now our focus is, first to complete the integration into obtain the permits, could we expect to be ready by in the next few probably weeks or months. The second one is still to do all necessary for making already achieving and looking for the synergies which certain is going to afford. And third one, is to keep our eyes open, yes to see the potential opportunities in the country will appear either for privatization either potential bits then the government can really put in different areas which are already fitting with our strategy.
Ignacio Cuenca: Next question comes from Virginia Sanz, Deutsche Bank, and he is related to the expected tax rate at the end of 2017.
Jose Sainz Armada: Well I think that we will be somewhere between 21% and 25% more or less.
Ignacio Cuenca: Next one comes from Peter Bisztyga from Bank of America Merrill Lynch and he is related to our exposure - FX exposure the U.S. dollar and he's asking what percentage of net income is exposed to U.S. dollar or how much is hedge for 2017?
Jose Sainz Armada: Well it's basically I would say 90% is already hedged of the net income on the dollar side and the level is slightly below 1.1 so we are making clearly some money on the hedges and the U.S. today is contributing around 25% to 30% to the results.
Ignacio Cuenca: Pueblo Colorado from HSBC, he is asking about the next upcoming renewable auction that will be held in Spain in this month. He's asking if we are planning to attend to the section as well.
Jose Ignacio Sanchez Galan: Well, as you know we are already large portfolio of opportunities worldwide we are analyze in all these opportunities in this Spanish one is one more opportunity, but the thing we have Spanish one we have for another one in America, and we have another one in another countries. So I know then that our people are looking this opportunity, but I don't know what they're going to do finally. But I think it will depend what they're expecting, this is going to happen and depending where they're expecting and going to happen, they will go or they will go, but I think which is still under analysis in our people from renewable and I think they're analyzing on the context of the different potential opportunities which in different countries, in different places. I think I can tell you for understand, yesterday they come with another proposal, another project in Texas for supplying entities one of the most important cities of United States with therefore already signed, so they will be disclosed in the next few days. So I think that is the day to day job of our people and that's what and they will analyze I think their days are still for doing something and they will decide your time, in the time what they're going to do.
Ignacio Cuenca: Next question comes from Alberto Gandolfi, Goldman Sachs. And he is related to the possible consolidation in Europe and our interest in participating in possible consolidation. And if some place he's talking about the German utilities and we see - if we can roll out totally our ambition to my participating these process.
Jose Ignacio Sanchez Galan: Well, I think you know that we have a plan and a plan is the plan, and the plan is to ready to do 90% of this plan is today in construction and yes to be already completed by 2020 and I think that is our people of M&A, so they will see all time looking opportunities here and everywhere. But I think nothing is already in my table is about any opportunities nor in Europe, nor outside of Europe apart of those one which I'd already telling you there's a running thing. So what they're already doing now may people I don't know, but I think is nothing is already in our table in this moment to see what these already, what project they are already looking and which opportunities they're looking as well.
Ignacio Cuenca: Okay with this last question we finish this Q&A session if there is additional once say we will be please to answer you from the Investor Relation team. Now please let me now to be the floor to Mr. Galan to conclude this event.
Jose Ignacio Sanchez Galan: So thank you very much for participating in this conference call. We have indicated, we are confident then we will manage to continue improving results during the following months like we have already done in previous years. So that we can maintain our commitment of increasing shareholder remuneration as we have already done in the past. So I wish you all good summer holidays, and thank very much and we'll be in touch already again for the next presentation in the next quarter, which I hope we can already present the merger with the Brazilian subsidiaries fully completed. And also I hope then as well the first export this part of Wikinger will already had to really happen. So I think they had the commitment to give me a really good present for my birthday which is the 30 of September, I hope for this day, we will have a good news as well. Thank you very much.